Operator: Good day and thank you for standing by. Welcome to the Oil-Dri Third Quarter Fiscal 2025 Earnings Discussion via Webcast. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Dan Jaffee, President and CEO of Oil-Dri. Please go ahead.
Daniel Jaffee: Thank you, and welcome, everybody. Before we get started, I'd like to introduce all the people that are on the call with us today. Susan Kreh, our CFO and CIO; Aaron Christiansen, Vice President of Operations; Chris Lamson, Group VP of Retail and Wholesale; Wade Robey, Vice President of Agriculture and President of Amlan International; Laura Scheland, Vice President and General Manager of the Consumer Products Division; Bruce Patsey, Vice President of our Fluids Purification Division; Tony Parker, Vice President, General Counsel and Secretary; and of course, Leslie Garber, our Director of Investor Relations, who will walk us through the safe harbor.
Leslie Garber: Thank you, Dan, and welcome, everyone. On today's call, comments may contain forward-looking statements regarding the company's performance in future periods. Actual results in those periods may materially differ. In our press release and in our SEC filings, we highlight a number of important risk factors, trends and uncertainties that may affect our future performance. We ask that you review and consider those factors in evaluating the company's comments and in evaluating any investment in Oil-Dri stock. Thank you for joining us. Turning it back over to you, Dan.
Daniel Jaffee: Great. Thanks, Leslie. And before Susan walks us through some of the quantitative highlights, I just want to give some qualitative, and there's going to be some quantum here as well. Those of you who know me well know I keep my spreadsheets going back to the beginning of time. And on an apples-to-apples basis, this quarter was a really big apple. It was a really big apple. We made $11.644 million of net income. We've had 85 fiscal years, so 84 previous. And that $11.6 million was greater than all but 8 of our 84 prior fiscal years. And then through 9 months, we are now ahead of all 84 of our past fiscal year. So we are playing with the house's money in the fourth quarter. So it feels really, really good. But most importantly, about all this is we've been reinvesting it in our business as we told our customers we would. So I want to make sure I thank our customer partners for embracing our capital replacement program. It was costing us twice as much to replace the capital as it was when we put it into service, and we're depreciating it. So to give you some metrics around that. We're probably going to spend around $32 million this year in capital and probably spend another $32 million next year. So if you look at the 5-year period from F'22 to F'26, which will end a year from this July, we will spend close to $143 million on capital. And if you look at the 5 prior fiscal years, so F'17 to F'21, we only spent $78 million. So we spent an extra $65 million or almost $14 million, $13 million -- $13 million more a year to put plow back in our business so that we can continue to give our customers the quality and the quantity that they expect and frankly, that they deserve. So it's going very well and thank you for supporting that. We had our Board meeting this week, and I think you saw that the Board raised the dividend 16%, and you have them to thank for that. And we always go and finish with a roundtable. And so happy that Bud Selig is still on our Board. He joined our Board in 1969. He was just really shouting out what a great team we are, and he knows all about teamwork. And I love his quote that what's going on here at Oil-Dri is remarkable, but not surprising. And he talks about how he knew my grandfather, grandpa Nick, who started the business in 1941. And in fact, the first baseball game Bud ever went to in Comiskey Park was with my dad and my grandfather, and he has great stories to tell about that, but I won't digress. But he also was very close friends of my father. So he joined our Board in 1969 when our annual sales were $4.9 million for the year. We now do $9 million a week if you count it as a 5-day work week. So that means every 2.7 days, we're doing the sales we were doing when he joined the Board. The year he joined the Board, we made $365,000 in net income. So now if you take our 9 months and annualize it, we make about $1,000 a week in net income. And so that's every 1.8 days, which is just ridiculous. And I'm sad that my father and my grandfather can't see this, but maybe they are, but they are through Bud. And so I just wanted to thank Bud for continuing to agree to stay on our Board and being such a great mentor to me. So I'm going to turn it over to Susan Kreh, CFO of the year in the city of Chicago. And Susan, take it over.
Susan Kreh: Thank you, Dan. And in order to preserve the most time for questions, I'll highlight a few financial matters and then address any of your other questions in the Q&A portion of the call. As Dan highlighted in his opening remarks, coming off another quarter of strong and record financial performance, our Board of Directors and our management team feel confident about our strong financial position and about Oil-Dri's future. And that confidence has been reflected in the announcement of a significant double-digit increase to our quarterly dividend. As a team, we continue to work together to strengthen our balance sheet and to demonstrate our ability to generate cash flow, which is the lifeblood for funding our growth and providing returns to our stakeholders. Year-to-date, as of April 30, Oil-Dri's net cash provided by operating activities was $55 million, which was an increase of 49% compared to the net cash provided by operating activities during the first 9 months of fiscal year 2024. Our belief in the sustainability of that cash flow generation inspired us to raise the dividend 16%, an increase much larger than our normal annual increase. We understand that the sustainability and predictability of our dividend is important to our long-term shareholders, and that was reflected in the increase. Going forward, we will continue to take a long-term disciplined approach to capital deployment to balance shareholder returns with reinvestment in the business and potential M&A opportunities. We continue to assess our capital allocation in the following order of priority. First of all, investment in our business for long-term sustainability. We have a fixed asset-intensive business model that requires significant capital investment in our manufacturing facilities, along with investment in expensive mobile equipment in our mining operations. You see this in the cash flows from investing activities section of our consolidated statement of cash flows, indicating that year-to-date, we've invested $24.5 million in these types of assets. We've also invested in enhancing maintenance, which flows through our cost of goods sold to improve uptime in our facilities. This not only leverages the investment in capital equipment in our manufacturing and mining operations, but the increased uptime also helps to improve service levels and responsiveness that's important for our customers. Additionally, we invest in people, process and technology to support our growth strategies. One example of this type of investment is the funding we've provided during this fiscal year to stand up a centralized data analytics function, and there are other examples as well. Second, when we're thinking about our capital allocation, we continue to explore and evaluate M&A opportunities to expand our businesses and support our growth strategies. Our Ultra Pet acquisition, which hit its 1-year anniversary as being part of the Oil-Dri portfolio on May 1 is a great example. That acquisition has performed well. It has hit our internal financial benchmarks and most importantly, has been viewed by our customers very favorably as a value-added product expansion to our portfolio. We initially funded this acquisition with approximately $24 million in cash, $10 million in short-term financing and $10 million in long-term financing. Because of our strong cash generation during this current fiscal year, we've paid off the $10 million in short-term financing, thus leaving Oil-Dri with more dry powder to fund future opportunities. Our third priority when we're thinking about capital allocation is our dividend, our goal to provide a predictable and sustainable dividend to our shareholders. The announcement of the 16% dividend increase marks the 22nd consecutive year of providing increased dividends to our shareholders, and that is a track record that we are proud of. And finally, share repurchases. We buy back shares to offset the dilution associated with restricted stock program for our teammates, and we opportunistically repurchase shares when we believe they're undervalued by the market. Year-to-date, we have not made any open market purchases, but we have bought back shares turned in by our teammates to pay taxes when their restricted shares vested. So those are -- that's the way we think about the cash allocation and the capital allocation. But prior to turning this back over to Dan for questions, I'd like to provide a little color on our effective tax rate. For the third quarter of fiscal year 2025, we used an estimated effective tax rate of 18% compared to 23% for the rate for the third quarter of fiscal year 2024, so a 500-basis point difference. Our process for determining this rate involves preparing our fiscal year's tax return during the third quarter, so after -- for the prior year. So after we prepare that, we've got a view of what our final tax rate looks like for that prior year, we make the tax adjustments that are necessary and book them. Then we take a look at expected annual taxable income for the upcoming year and include any tax adjustments that we're aware of, including the depletion deduction and any other discrete items. While this analysis resulted in year-over-year results in the quarter having a meaningful variation in the quarterly effective tax rates, when we look at that on a full year basis, we still estimate the full year effective tax rate to be about 19% compared to a full year effective tax rate last year of 20.5%. During the current year, we did benefit from a onetime tax credit related to solar investments in our Taft, California facility, which really makes up the difference in why the rate this year is slightly less than the full year effective tax rate that we used last year. So hopefully, that provides a little bit of what's going on in the quarter. I would just recommend that looking at the full year is probably the way to think about it when you're thinking about the future of the business. And with that, Dan, I'll turn it back over to you.
Daniel Jaffee: All right. Thank you. And for our investors, if you're ever -- thank you for the effective tax rate thing, but if you're ever suffering from insomnia, just ask Susan to walk you through our international taxes. And I guarantee you I'm just teasing you, Susan, but you know I love international tax. I'm going to turn it over to Chris Lamson for an Ultra Pet acquisition update, obviously.
Christopher Lamson: Great. Thanks, Dan. So hey, at the end of Q3, we've now completed our first year of ownership of Ultra Pet, which made it seem like a good time. I think it was last -- it was at the end of Q1, but we thought this would be another good time to share an update regarding the acquisition. As Susan mentioned, we're right on our acquisition economics. We're obviously very pleased with that. That is we're right on the model we use to value the business. We're experiencing stronger-than-expected cost synergies, primarily in the logistics and administrative areas. One example, we've been able to close what were pretty expensive third-party warehouses and roll these into our existing Oil-Dri facilities from a distribution perspective faster and more efficiently than expected. Susan again alluded to this, it's a win-win as customers are enjoying the efficiencies of what are fairly light crystals writing on the same trucks as our heavier clay litters. Conversely, the Ultra legacy business, the existing retailers we got as part of the business, been a little softer from a top line perspective, but then partially offsetting that has been the distribution drive that we made right after buying the business was really successful and also in line with our acquisition model. We've gotten a few questions back through Leslie over time as to the tariff situation. Silica gel comes out of China, so I thought I'd provide a little update on that. I think first, though, setting context, as much as crystals are a focus, given the growth opportunities we see, they only represent about 10% of our total litter business and less than 5% of Oil-Dri's total business from a top line perspective. So important to realize that overall exposure here is limited in the crystals business and then as was talked about earlier, is a bit limited overall or is limited overall as a company. So as we're thinking about it, we really start with consumer value. And as the case with always with Oil-Dri, the tortoise being our mascot, we think about the business for the long term. The value player in the category, that means we really need to pay attention to price gaps, just like we do on our base clay business. Our Cat's Pride and Ultra brands and of course, private label have to offer a solid value versus the premium branded players. So we look up at those branded players, but in crystals, we also have to look down at the clay business as we really compete with them from a value perspective or compete with the clay segment from a value perspective as well. So as of now, we're not really seeing any movement on crystals and clay. Now the flip to that is, especially with our tighter margins versus the premium players, we really must manage the P&L and the tariffs push on our margins, where they have to an unreasonably low level, we've got to pass along a little bit of surgical pricing, but only to the extent necessary and with a focus on maximizing that value like we talked about. Fortunately, per my prior comments, we really have generated significant cost savings via synergies, which we can use to offset the near-term impact of tariffs along with that surgical pricing and ultimately maintain good value equation. So ultimately, it's really a balance that we're leveraging to get through what is a bit of volatile times. So it's kind of easy to become myopically focused on managing tariffs and the margin structure. I'm really pleased that we remain focused on growing the crystals business. As I've shared in this forum before, the selling cycle where we really began to leverage our strong capabilities built into our lightweight private label business by partnering with retailers to develop private label offerings in the Crystal segment. While we never share our retail lever plans, we remain really optimistic that part of our investment thesis around building out the private label business is very much on track. Recall that the momentum that we created out of the gate in terms of driving distribution was really on the Ultra brand and bringing Cat's Pride into Crystals. As we go forward into this next selling cycle, we're optimistic that we'll begin to drive penetration on the private label business as well. So pleased with where we are and pleased with growth prospects ahead and teams head down on growing the business. With that, we'll turn it over to Leslie, who I think is going to kick off taking your questions.
Leslie Garber: Thanks, Chris. [Operator Instructions] So our first question comes from John Bair from Ascend Wealth Advisors . He and Ethan Star, a private investor, are both interested in Amlan. And so I'm going to read the first question. Although Animal Health and Nutrition revenues for the 9 months year-over-year were up this past quarter, they were flat year-over-year as stated in the press release. Was this quarter's result due to seasonality or changes in customer order patterns? Any hesitation by customers outside the U.S. due to tariff controversy? And what will it take to get sales back on the growth trajectory? So Wade, I'm going to turn that over to you, please.
Wade Robey: Yes. Thank you, Leslie, and thank you, John, for the question, and good morning, everyone. As you know, the performance for the third quarter was flat as we compare it to the previous year. But actually, as we look at the year-to-date, we're on very good growth and meeting our expectations and targets that we've set for the year. So why is that? As you know, we have quite a bit of volatility currently being caused by the tariff situation. This really exacerbates a previous situation we had where because of the -- some of the challenges we were seeing on logistics and delivering to our international markets, we are seeing longer transit times. So the combination of those has caused increased volatility as we look month-over-month or as we compare on a quarter basis. So that we expect to work its way out. It actually has caused us or allowed us to work even more closely with our distribution partners, forming stronger relationships, helping them manage their inventory, so we don't have product shortages and that we meet our customer needs for our products. So overall, we're very pleased with the performance year-to-date and expecting to finish the year on track, but it has caused, as you know, some month-to-month or quarter volatility that was unexpected.
Leslie Garber: Great. Thank you, Wade. The next question comes from Robert Smith from the Center for Performance Investing. He asks, -- the U.S. renewable diesel production was down 12% in the first quarter of calendar 2025, yet you were up 13%. While not fully comparable in fiscal year month, it was significant outperformance. Please explain. So I'm going to turn that over to Bruce Patsey.
Bruce Patsey: Yes, Robert, thanks for the question. And yes, the market was down slightly in the first quarter of this year. But in fiscal '25, new plants came online in the renewable diesel sector, and Oil-Dri was able to secure a lot of that new business that we didn't have the prior year. So even though the whole market was down slightly in the first quarter, we saw a gain in our business as we had new business and working with new plants. In addition, we saw an increase in some of our vegetable oil business as we picked up a few new customers in that segment as well. So overall, we're very strong, and we're looking forward to a good fourth quarter coming up.
Leslie Garber: Our next question comes from Ethan Star. He asks, noting that you recently lost what appears to be a significant private label clay cat litter account, what are the prospects for growing private label clay cat litter distribution and sales? I'm going to have Laura Scheland answer that.
Laura Scheland: Thanks for the question. We're continuing to see a lot of momentum in the private label clay cat litter, particularly for lightweight litter. And despite the loss of an account, we continue to have commanding share of private label lightweight. As we've mentioned during past calls and the stockholder meetings, our strategy has been to grow the lightweight segment, and we're very pleased to see that these efforts are paying off and the lightweight segment is growing more than the litter category, which poises us for long-term success as the lightweight litter pie grows, our sales grow as well. As more consumers move to the lightweight litter segment, the opportunity for private label lightweight is growing. We've made great progress on private label lightweight accounts over recent years, but still have about 4 to 5 national retailers who don't carry us that we are targeting. We are leveraging existing relationships and are in active conversations with a couple of them and are very excited about the prospects. In addition, we've continued to develop the best-performing products to offer consumers the best value and have evidence of the superior performance and quality of our products versus other private label lightweight offerings and are actively using this evidence and data in our selling efforts with customers. So net-net, we remain very optimistic and excited about the momentum of the growing lightweight litter segment and our prospects to grow in the private label lightweight business along as well.
Daniel Jaffee: Great answer, Laura. I just want to add because lightweight is so near and dear to my heart that my belief is if it's a great lightweight litter, then it conforms to our patents. And if it doesn't conform to our patents, it's not a great lightweight litter because that's what we did. When we invented this category and we launched lightweight litter, we pretty much patented everything we thought that would make an effective lightweight litter. So what you're seeing, we're not going to get into the details, but we can see what customers are saying about this product that they replaced us with. And the reviews are not friendly. And I would guess that their sales are declining. So we're going to play the long game like we always did. Sometimes when something is too good to be true, it's because it really isn't, and they obviously got a lower price, but I'm confident that over time, the consumers will get to vote, and my bet is we will be back in. But we'll see. And sometimes you got to take a step back to go 2 steps forward.
Leslie Garber: We have another question from John Bair. He asks, natural gas is a key production input cost. We know you partially lock in forward supply contracts for those needs. Natural gas prices are widely considered to be headed higher in the second half of 2025 and in 2026 due to increased demand for LNG exports, summer cooling demands and data center power demand. Are there any alternatives available to Oil-Dri to power your kilns or otherwise reduce your operating costs at the plant level? I'm going to turn this over to Aaron Christiansen.
Aaron Christiansen: John, that's a great question. I'm happy to answer it. I'll take it in a number of different ways. First, as you stated in your question, a reminder that we make partial purchases to secure a chunk of our natural gas needs. In a rising market, it helps sort of prove the value of long-term dollar cost averaging of the natural gas we purchase. Taking the question another way, in the past, we have explored alternative fuels, fuel oil and even coal. At present, liquid natural gas is still the most cost-effective and efficient fuel source. Taking the question another way, Oil-Dri has explored alternative drying technologies, different types of dryers and even completely different alternatives like microwave technology that are available. Unfortunately, at present, most alternatives to traditional drying technology come with other pitfalls, high cost of capital, maintenance cost, rate and reliability issues potentially all come with pitfalls. At present, we've been unsuccessful finding an alternative that we really believe in. Now that being said, our job every day is to get better than we were yesterday. We're constantly looking at ways to optimize fuel consumption, improve moisture control and management, some unique ways to manage optimal combustion on our dryers, continually looking at creative ways to get better, including even pre-drying. And then I'll close with taking an opportunity to just not within your question, but maybe to remind the audience, Oil-Dri has shifted more than half of our warehouse forklift fleet to the use of electric away from propane or natural gas-powered forklifts, and that has been -- for several reasons, has really been a highly beneficial shift in approach. I hope I've answered your question, John.
Leslie Garber: Okay. We'll take another question from Ethan Star. Are you gaining new distribution of the Ultra Pet crystal cat litter? If so, how many doors are they in? And how is retail sell-through? Chris Lamson, I'm going to turn that over to you.
Christopher Lamson: Sure. Thanks, Leslie, and thanks, Ethan. I answered this partially in my earlier comments, so I'll be a little brief here. In short, we're up significantly in terms of what we call points of distribution year-over-year, which is number of doors, to your point, Ethan, times number of items. In fact, year-over-year from a brick-and-mortar branded perspective, we added more points of distribution than we had when we acquired the business. Now recall, Ultra Pet also had a sizable online business and a private label business. But branded year-over-year between Cat's Pride and Ultra Pet, we added more points of distribution than we already had. We went right into selling season. It's been quiet since we built that distribution. We're back into selling season. And I outlined our plans to sell more branded business, but also now add private label points of distribution going into this next selling season, which really culminates with some customers and shipments in the fall and some customers with shipments in the early winter. So we'll be back with results as that stuff starts shipping and tell you about the progress, we've been able to make then. Thank you.
Leslie Garber: Great. Thanks, Chris. Our next question is from Robert Smith. He asks, is artificial intelligence playing any role yet in controlling expenses or in targeting advertising? I'm going to have Susan Kreh address that.
Susan Kreh: Yes. Thanks for the question. This is one that's near and dear to my heart. We do have a 5-year road map with artificial intelligence on it. I would say today, we're at the beginning of this journey. Today, we use it primarily to supplement our teammates and provide technology that makes them more efficient. So think about applications in customer service and in accounts payable. But we definitely do have items on the road map to get to your point here, Robert, where we will be taking a look at using them to control expenses. And hopefully, my boss will find that more exciting than international taxing strategies. But yes.
Daniel Jaffee: I will. It's a low bar. Well, thank you. We're running out of time, and we did have one more question that actually is a great dovetail into my closing comments. And so Samuel [Yake], I hope I pronounced your name right, but he said, Wall Street often gets caught up in short-term performance. It will be nice to hear your thought on what Oil-Dri will look like in 10 years. And the reason why that's such a great question, Samuel, is because we do believe we have the best hybrid capital structure. We're both a public company. You get total transparency, and a lot of people have made a lot of money betting on and holding Oil-Dri shares over the years. As Susan said, we've raised our dividend 22 years in a row, with big increase this year of 16%. Lately, you've seen a great run-up in the value of the company, rightly so, as we have created more earnings and grown the top line. But we always have played for the long haul. And Chris mentioned that our mascot is the tortoise. It is because the tortoise always wins the race. And I have to remind investors because sometimes they get a little frustrated, they're like, well, what do you mean a tortoise, tortoises go slow. And my take on that is the tortoise went as fast as he could go without jeopardizing the future. He wasn't going to do anything in the short run to jeopardize his future outcome. He just had stubby little legs in a shell, but he wasn't lazy. He wasn't going slow because he was lazy. We are not lazy. We will go as fast as an organization as we can without doing anything to jeopardize -- intentionally jeopardize the future. We're obviously human, and we will make mistakes. So I'm not going to answer your question in specificity. I will just tell you that we are benefiting today because of investments and decisions we made 2, 4, 6, 8, 10 years ago, even longer when we started an acquisition strategy and started to bring in new products and new mines and new materials. So -- and then invested more in R&D, invested more in capital. These are long-term investments. So all I can tell you is we really have an internal commitment to having at least 40 years reserves in every single product line, and that's our window. We have over, I think, 100 years of reserves and proven and inferred if you take all of our materials, but we make sure that for every product line, we have at least 40 years. So I very much appreciate your support, your loyalty, and we've been rewarding it in the short run. I hope we're rewarding it forever. But it's a long game. And so let's deliver in the next quarter. So thank you. We'll be talking to you again when we close fiscal '25. I hope everyone has a great, happy and healthy summer.
Operator: Thank you. Ladies and gentlemen, this does conclude today's presentation. We thank you for your participation. You may all disconnect and have a wonderful day.